Operator: Good morning, ladies and gentlemen, and welcome to the Chorus Aviation Inc. Fourth Quarter and Year-End 2025 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Friday, February 13, 2026. I would now like to turn the conference over to Matt LaPierre. Please go ahead.
Matt LaPierre: Thank you, operator. Hello, and thank you for joining us today. With me today from Chorus are Colin Copp, President and Chief Executive Officer; and Gary Osborne, Chief Financial Officer. We will begin today's call with a brief summary of the results, followed by questions from the analyst community. As there may be some forward-looking discussion during this call, I ask that you refer to the caution regarding forward-looking statements and information found in our MD&A. This pertains specifically to the results and operations of Chorus Aviation Inc. for the year ended December 31, 2025, as well as the outlook section and other sections of our MD&A where such statements appear. Finally, some of the following discussion involves non-GAAP financial measures, including references to adjusted net income, adjusted EBT, adjusted EBITDA, leverage ratio and free cash flow. Please refer to our MD&A for further information relating to the use of such non-GAAP measures. I'll now turn the call over to Colin Copp.
Colin Copp: Good morning, everyone, and thank you for joining us today. 2025 was a pivotal year for Chorus with significant progress, one in which we meaningfully reduced our overhead costs, initiated a quarterly dividend; optimized our capital structure, completed 2 SIBs in combination with our NCIB, substantially reduced our corporate debt; executed agreements to sell 9 Q400 aircraft, acquired Elisen & Associates, a leading engineering firm based in Montreal; and ended the year with adjusted earnings available to common shareholders of $2.27, up from $0.97 the previous year, representing a 134% increase over last year. With our foundation firmly in place, we are well positioned in the marketplace as a world leader and trusted Canadian partner of a growing diversified portfolio of businesses with deep expertise and experience in aviation, aerospace and defense. Along with our fourth quarter results, we made 3 additional announcements in support of our plan to build long-term value, strong free cash flow and provide value creation for our shareholders. First, I was very happy to announce that we concluded an agreement to acquire Kadex Aero Supply, complementary OEM aviation parts, repair and overhaul platform that strengthens our position in the aviation, aerospace and defense business. Kadex broadens our bench strength with OEM parts distribution for many well-established aircraft platforms such as Beechcraft, Cessna, Hawker, and Piper. As well, they distribute a wide range of consumable products of well-known brands such as Shell, Goodyear, Michelin, Champion, and many others to the commercial business and general aviation operators of both fixed wing and rotary wing aircraft. Kadex complements our existing U.S. business at Voyageur, and is well aligned with our strategy of acquiring growth businesses that combine their strengths to accelerate shared success across our group of companies. They are a highly respected company with strong OEM and customer relationships, have a proven operating model and a growing revenue stream that supports our objective on strong free cash flow generation. Kadex is headed by 2 industry leaders who come with many years of experience and expertise, John Lavery and Ken Blow, where we are very excited to have join our team and our growing portfolio of industry experts within the Chorus family. The acquisition is expected to close during the second quarter of 2026, and we look forward to welcoming the entire Kadex team to Chorus. Second, we announced that we are increasing our annual dividend from $0.32 annually to $0.44. This reflects our ability to execute on our plan, driving growth in our free cash flow as well as our ongoing commitment to returning capital to our shareholders in a disciplined manner. And third, consistent with our capital allocation strategy, we will continue to buy back shares and have also announced an NCIB. For the past 2 years, share repurchases have been an important part of how we create value for our shareholders. And in 2025, we bought back $85.2 million in shares, and we will continue to take a disciplined approach to share buybacks. Turning to our operating businesses for 2025 that year marked a consistent execution. Doug and the Jazz team delivered strong performance with steady contracted earnings and solid operational results under the CPA with Air Canada. The team has also made good progress on their cabin refurbishment program, which significantly enhances the customer experience on the Air Canada Express fleet operated by Jazz. In October, Jazz and Air Canada celebrated a landmark announcement with the expansion of flying to 4 new U.S. destinations from Billy Bishop Toronto Airport, which is anticipated to ramp up starting in late March of this year. Also in this quarter, Jazz successfully concluded an agreement with AMFA, the union representing its maintenance employees, for a new 5-year collective agreement. As always, Jazz remains very focused on safety, their operational performance and securing a strong supply of qualified pilots from both Cygnet and throughout the industry. Cory and the Voyageur team are busy focusing on growing opportunities and delivering another strong year while continuing to shift their business mix towards higher-margin opportunities in the defense, specialty MRO and parts space. We see strong upside in the parts business as Voyageur continues its expansion into new platforms such as ATR. Over the past several months, they've acquired 2 ATR aircraft, which are now undergoing part out, and a third ATR is in progress. While their Q4 parts sales were slightly down from plan, this was directly a result of 2 significant part sales packages moving from December into 2026. These sales are both expected to come through in Q1 of this year. On the defense side, Voyageur is now fully supporting Canada's major operation with their engineering expertise and integrating key modifications across the fleet. They're fully staffed, providing frontline in-service support through a team of 20 embedded specialists working alongside D&D personnel in Trenton and on deployments. They're also set to provide in-service support to the D&D aerospace engineering test establishment known as ATE, supplying an aircraft and maintaining an on-site Voyageur presence with AT's Ottawa D&D facility. We see Voyageur is well positioned to further support Canada's expanding defense needs, including major capital commitments in aerospace platforms and the long-term in-service support that they require. Taif and Stephan and the Elisen team who joined us this past year have been off to a great start, working closely with Voyageur to grow their respective businesses. And we were happy to see Elisen awarded the contract by the Quebec Ministry of Transport and Sustainable Mobility to configure a Bombardier Challenger 650 for medical emergency air transport. This marks Elisen's first significant contract since joining Chorus in September. Elisen will lead as the primary contractor and engineering expertise, while Voyageur will provide the maintenance expertise for the reconfiguration. Lynne and the team at Cygnet have also had a very strong year of growth and expansion and recently kicked off their largest cohort of 18 new students. They've been expanding the business with new candidates in their free agent program and the destination porter cadet program, in addition to the Jazz approach cadet program. The work with Canadore College on a new pilot program and the expansion of Cygnet in the North Bay continues to progress well. As our business continues to grow both organically and with new acquisitions, our team of industry experts broaden. Both Elisen and Kadex are great examples of industry-leading businesses, which will be leveraged across the Chorus group of companies to accelerate revenue growth. Today, we are focused on driving long-term value for our shareholders by building a powerful cash generation -- cash-generating portfolio of aviation, aerospace and defense companies, while taking a disciplined capital allocation approach, targeting mid-teen returns. Thanks to a great team of Chorus, we're commencing 2026 with momentum, a stronger portfolio of businesses and a culture focused on performance. And in closing, I'd like to thank our employees across Jazz, Voyageur, Cygnet, and Elisen for their commitment and performance throughout the year, and welcome Kadex to the family. And lastly, I will thank our Board of Directors, shareholders for their continued support. With that, I'll hand it over to Gary for the financials.
Gary Osborne: Thank you, Colin, and good morning. We are pleased to report on our fourth quarter and annual 2025 results that continue to generate strong earnings and free cash flows as well as our capital allocation that is focused on growing shareholder value. As Colin noted, we have announced an agreement to acquire Kadex for total consideration of approximately $50 million. Of this total, $43 million will be funded on closing through the use of Chorus' operating credit facility and cash on hand. The remainder of the purchase price will be payable over the next 2 years, subject to meeting certain performance targets. I join Colin in welcoming the Kadex team to our family. Kadex's total estimated purchase price of $50 million comes in at approximately 7.5x EBIT multiple. EBIT was used given Kadex as a per supply company, which has little to no capital requirements. Purchase multiple is below Chorus' most recent enterprise value to EBIT trading range of approximately 9 to 9.5x. All said, we expect the transaction to be immediately accretive to Chorus' earnings and free cash flow from the date of closing. Today, we also provided an information on our capital allocation priorities over the next 4 years. Our capital allocation provides for an anticipated generation of between $500 million and $550 million in free cash flow and net proceeds on asset sales over the next 4 fiscal years. With this, we announced our quarterly dividend will be increasing to $0.11 per share, up 38% from our previous $0.08 per share. This is consistent with our previously announced plan to distribute approximately 25% of free cash flow after payment of amortizing term loans. We also announced our commitment to purchase up to $100 million in shares over the next 4 years, subject to required TSX approvals and the share trading price. This reflects our view that Chorus' shares continue to be undervalued. And consistent with this, we are implementing a normal course issuer bid with authorization to purchase up to approximately 2 million shares over the next year. This further commitment to buy shares builds on the $124 million spent on share buybacks since 2022, where we bought back approximately 19% of the company's outstanding shares. Our announcement includes a flexible capital allocation over the next 4 years of between $170 million and $220 million, allowing for optimization of shareholder returns through organic growth, acquisitions, further share buybacks or dividends, debt repayments and working capital investments. Our capital allocation also highlights our scheduled paydown of $190 million of amortizing term loans over the next 4 years. It is important to note, these debt repayments reduced significantly in 2028 and 2029 as 18 aircraft leased under the CPA has their debt fully repaid by the end of 2028. Further information on our capital allocation is contained in our Investor Relations presentation available on Chorus' website. We also provided guidance -- consolidated guidance for the 2026 fiscal year in our MD&A, including adjusted EBITDA anticipated in the range of $170 million to $185 million and free cash flow of $100 million to $110 million. And now turning to our Q4 2025 results. For the quarter, Chorus generated adjusted earnings available to common shareholders per share of $0.57, a $0.23 or 68% increase over last year, primarily driven by lower net interest expense. For the year, Chorus generated adjusted earnings available to common shareholders of $2.27 or common share basic, which is $1.30 or 134% increase over 2024. Adjusted EBITDA for the quarter was $47.1 million compared to $51 million in Q4 2024, with the decrease primarily attributable to lower aircraft leasing revenue under the CPA. Free cash flow for the quarter was $27 million, consistent with Q4 of 2024. Finally, our year-end leverage ratio was 1.7 compared to 1.4 in the prior year, primarily due to the excess cash held at the end of 2024 and the investment in our SIB in Q4. Our liquidity remains strong with $169 million available at year-end. We expect it to remain strong as we generate free cash flow and realized net proceeds of approximately USD 56 million or about CAD 78 million from the sales of the remaining 8 Dash 8-400s expected to close between February and July of this year. As Colin noted, Voyageur continues to perform well, generating $135 million of revenue for 2025, inclusive of intercompany revenues, about $5 million lower than our projections primarily due to the timing of certain larger aircraft part sales that were delayed from the fourth quarter of 2025, and is pulling down of the UN and World Food Program missions. Voyageur expects to conclude most of the part sales from Q4 in the first quarter of 2026. We are now ready to take questions.
Operator: [Operator Instructions] Your first question comes from James McGarragle from RBC Capital Markets.
James McGarragle: I like that, the new disclosure you're giving here. So just on that, I mean, one of the slides in your deck kind of pointed to some pretty meaningful amounts of what we call flexible capital allocation. So can you just kind of comment on where you see the best opportunities here? Any line of sight to something we could see a little bit more and more imminently? And just kind of how you're thinking about spending that pretty meaningful amount of money over the next couple of years?
Colin Copp: James, it's Colin. Look, I can't give you any specifics on where we're going to put it, that's for sure. I mean, that's why we call it flexible. But I think Gary has outlined fairly well in the MD&A and/or the investor deck there, clearly where we plan to put it. There are very specific areas, whether it could be greater share buyback, it could be -- it could be dividend, it could be certainly into growth, whether that's organic or whether that's acquisition or debt repayment in the future as we kind of look forward. So we've kept it fairly flexible. I don't really have any specifics to give you. There's lots in the pipeline that we're looking at. We've been talking about that for a while. We've executed on 2 acquisitions here. We're -- hopefully, we'll close this other one very soon. So there's lots more to look at on that side and there certainly is organic growth that we're working on in various other areas, whether you think about defense or some of the other stuff that Voyageur is working on. So lots of opportunity. We've just got to be disciplined about where we deploy it. And we're very focused on making sure that we are in the mid-teen IRR range with anything that we're doing.
James McGarragle: And just on the margin profile of the Kadex business, can you provide any color there? And just kind of beyond the stand-alone performance of that company, can you just kind of elaborate on some of the synergies that you think that brings to your existing operations, kind of maybe particularly regarding parts supply optimization and utilization across your current business? And after that, I can turn the line over.
Gary Osborne: Okay. Thanks, James. So on my comments there, I kind of gave a range of where it is on an EBIT basis and because -- we use that because obviously, they don't have really any CapEx compared to an airline. So if you certainly take the $50 million we've disclosed in payments, divided into the $7.5 million you'll get a pretty good idea of where the EBIT is. So that's as far as we'll go with the margin. But you're getting a good idea what this business produces, and it's a pretty consistent business as far as that goes, and it's got a decent growth profile. And as far as the synergies go, Colin can talk a bit more about it, but we look at the businesses operating separately. All our businesses is operating separately. And you'll see in our investor deck, we talk about really businesses that come together that produce more together as opposed to a synergy type of argument. So we're very pleased with the Kadex purchase. We think it's good and it's a nice stand-alone business, offers more breadth. As far as parts go, you're getting now into new parts with OEMs, and it's been talked about there with various OEMs. So we think it's a nice piece to add on. And then if you look at it, it also builds up that book of business. So if you look at our financials, in our new disclosures in the revenues, you see we're just short of $60 million in parts sales for this year at air parts, where you combine this $60 million with that, roughly $60 million, you got about $120 million plus part sales business. It's quite significant, and it's a nice diversification away from aircraft line.
Colin Copp: Yes. Just to clarify a little bit on the acquisition itself as far as structure goes, James, it is -- our view has really been on all of these new businesses, specifically Kadex's acquisition is, it's decentralized, right? So we're looking at opportunities across the organization to create value and revenue growth opportunities. Kadex brings a ton of parts and consumables in the aviation industry that we currently are not in, Voyageur is not in that business. They're very much different businesses. So there's a lot of different areas that we can leverage across the group of companies that Kadex brings in with it. We're excited about it and see some good growth for sure.
Operator: Your next question comes from Cameron Doerksen from National Bank.
Cameron Doerksen: Just wanted to follow up on the question around Kadex. Just wonder if you can describe how that business has been growing in recent years? I mean it sounds like an interesting business, but just wondering sort of what the growth portfolio has been? And I guess, what you see in the next couple of years for growth?
Gary Osborne: Yes. Cameron, it's Gary here. They've been growing quite nicely, somewhere in the 5% to 10% per year on the revenue line. So they've been doing quite well on that side. So we're pleased to bring them along. So we see a lot of growth from that piece, and we'd expect that to kind of continue into the future. As far as their product base, it's pretty diversified. I think you can see that from a little bit of the disclosure and same as their customers. So we're expecting at least 5%, so.
Colin Copp: Cameron, I'll just add to that, a little on the product side. The -- they're in, as I think I mentioned in the script there, you might have caught was they're in both the rotary wing and fixed link, and they have quite a broad spectrum of parts as well as consumables that they sell across all spaces in the aviation industry. So they're touching both general aviation, business aviation and commercial aviation with a lot of the consumables that they sell. So it's a very broad spectrum of parts that they're -- and consumables that they're selling. So we see quite a bit of growth and so do they, in various areas. As Gary said, we kind of got a bit of a plan around the 5% range, but we're pretty optimistic about it for sure.
Cameron Doerksen: Okay. That's helpful. And it looks like maybe they do some repair and overhaul. I don't know if that's the case or not. But if that is the case, then I guess, how much of that is the business versus the parts and consumables?
Colin Copp: Yes. I can't give you a comment on the percentage, but I can tell you it's smaller for sure. But they do repair and overhaul, that's complementary to our existing platform. So we're pretty excited about that. I don't think we've provided anything on...
Gary Osborne: No. No, we haven't.
Cameron Doerksen: Okay. Fair enough. Maybe just secondly, on -- I guess you mentioned that you're seeing lots of opportunities for Voyageur and the defense and other areas. I guess, any color you can provide on that? And how has the opportunity set, I guess, improved or increased in the last 3 months since we last spoke?
Colin Copp: Yes. I think it has, for sure. We've been more and more engaged with the government in various levels on these opportunities. There's more and more requests for information out there. There's a whole host of things that the government is looking at and D&D is working on that we're kind of involved in at various levels. It's like everything, I think when we bought Voyageur and we were first starting to talk about the defense business, it's incredibly lumpy. The growth -- the revenue growth is, because these contracts take time to establish and work on and then they come through and then they're very sticky, and they last for a long time with lots of upside. So we're heavy into and Voyageur is heavy into looking at opportunities and working on them. There's been a lot of interest. They've secured and got the MAISR program running well. They've expanded that a little bit in the last year. So AV is up and running. They've got a couple of other contracts there that are defense related that they're working through. So most of the infrastructure and the facility work that they're doing today is specialty MRO. They have very little standard MRO work, low-margin work going through their facility. And we see that continuing to expand and grow over time. The exact timing of it and what we see is very hard to predict. But there's no question, there's enough activity out there that something is going to happen here soon for sure.
Operator: Your next question comes from Alexander Augimeri from CIBC.
Alexander Augimeri: I was just hoping if you could give some color on how you think about the cadence of the NCIB over the 4 years? Would you sort of front load it, evenly spread?
Gary Osborne: Yes, it's Gary here. I think right now, we're flexible on that piece. I think for your modeling, you can spread it out or whatever. We're really monitoring a bit the share price and where our capital allocation priorities are. But there's no question we don't like where the shares are trading today. So we're leaving some optionality around that. So yes. .
Alexander Augimeri: Yes, makes sense. And if I can ask, what leverage ceiling are you comfortable with while executing the repurchase plan and maybe tackling that M&A pipeline you have there?
Gary Osborne: Yes. So we've given out a range of 1 to 2x on our leverage, which is adjusted EBITDA to net debt, and we're not moving from that right now. We're at 1.7 in the quarter or ending the year actually. And that's going to have a downward profile as we sit here. As we've disclosed a lot of amortizing debt sitting under the CPA aircraft leasing side, so that's coming down. We do have over CAD 70 million coming in with the aircraft sales coming up. So that will pretty much extinguish that piece there -- or sorry, the $50 million we have on our line at the end of the year. So we feel really good about the profile. 1 to 2 is a nice range for us. It allows us a lot of flexibility as we move ahead, keeps our servicing down. And I think it's something that as we proceed ahead here, I think our shareholders will be good too because it will ensure that our free cash flows and other things are doing quite well.
Operator: Your next question comes from Tim James from TD Cowen.
Tim James: My first question is the nice 38% increase in the dividend and its relationship to free cash flow which was down in '25 versus '24. Now I realize there's a lot of sort of moving parts in there. But I'm just trying to think about the significant increase in the dividend then. Is that more of a reflection of kind of your forward-looking growth opportunity in free cash flow? Is the plan to adjust the dividend annually or maybe less frequently with larger step-ups? I'm just trying to think about how we take our own view on sort of future free cash flow and then connect the dots to kind of a dividend expectation?
Gary Osborne: Sure. Thanks, Tim. If you go to the outlook section, you'll see we've given free cash flow expectations. Also we've shown the scheduled debt payments. And if you look at the $0.44 annually, $0.11 per quarter, it's pretty much mid right smack dab in the middle of the range of free cash flow less debt payments. So it will be a common -- and so when you look at it, 25% is $0.44 a share annually. So we are fairly disciplined with that. We're going to have to always continue to look forward and backwards because you could have a lumpy years in that, but we're committed to 25% after free cash flow after debt payments. So as you go forward, you model, that is how we're going to approach the dividend. So what that would -- it should tell the market. And our commitment is we're trying to grow it, and we would revisit that annually.
Tim James: Okay. That's helpful. Just turning to the Kadex acquisition, how should we think sort of strategically about the approach to purchasing parts and consumables? And -- I mean does that business take on much price or volume risk holding sort of assets holding parts and what have you on the balance sheet? Or how do you kind of minimize the risk there in the marketplace for trading those parts?
Gary Osborne: Tim, it's Gary again. So when we look at Kadex, they have a relatively small inventory amount versus their sales. Their inventory turns over 2 to 3 times a year on average. So they don't really have a lot of risk on that side. So they've got good efficiency with their inventory. They've got good sales relationships both with the customers and OEMs. So I don't see a lot of risk on that side. It's fairly fast-moving inventory. And remember also, it's a little different than the AV Parts business because the AV Parts business tears down aircraft, it's on older aircraft. These are new parts, new type of equipment, oils, greases, stuff like that. So they're moving on new parts in the equipment.
Tim James: Okay. So when you say they're moving -- yes.
Colin Copp: I was just going to clarify that the consumable side of the business is really a just-in-time kind of business to some degree. First they look at margins and pricing and all that and determine exactly what kind of volume they carry. But it is a very different business than what Voyageur runs with regards to part out. They're really -- it's a business. Voyageur is a business where you're parting out an airplane, you're sitting on inventory for a period of time, knowing that where these guys are very much focused on new parts, all -- really all other stuff is all brand-new stuff, OEM stuff, and it's being turned at a very rapid rate, and they're very focused on just-in-time inventory and managing their inventory levels down as low as they have to. They don't carry a lot of extra inventory just for the sake of carrying it.
Operator: [Operator Instructions] Your next question comes from Konark Gupta from Scotiabank.
Konark Gupta: I echo, great work on the presentation deck to highlight some of the things. Maybe first one on Kadex. On the acquisition, was it a bidding process? Or did you approach them? I mean, how did the acquisition come about?
Colin Copp: Konark, it's Colin. Yes. So look, I think I talked a little bit about this in the past, maybe not that much. But we very, very much focused on going in and building relationships with these companies. This company was not for sale. This was an acquisition that was a privately owned company that we had a relationship with over a period of time and we built a relationship to get to this point where we can acquire it. Most of what we're looking at today, not all of it, but I'd say the majority, the vast majority are acquisitions like that, that are relationship base that are not on the market for sale. So it's not a competitive process. It was exclusive with us that we worked through and came to in an agreeable price and process. As well, the whole the management team is intact, right? The expertise remains, and that's one of the biggest things that we're focused on is making sure that we -- as we acquire these opportunities, we also have the right expertise that are building the Chorus group of companies.
Konark Gupta: That's great. In terms of the pipeline on the amenities side, do you guys see very similar opportunities as Kadex and Elisen like fitting in the Voyageur sort of wheelhouse? Or are there other sort of parallels that you're exploring in addition?
Colin Copp: Yes. On the pipeline, we're looking quite broad, but we're sticking to those core areas. I think we -- if you look at the investor deck, there's a pretty clear view of the kind of the core areas that we're staying focused on. And we're not deviating out of those areas. But it is a very broad -- when you look at those 5, I think it's 5 core areas we've listed in there. All of our businesses fit into them. It's quite broad. It gives us a lot of flexibility to consider things. But there are areas that we know well, that we have experienced with generally and then we can build out the verticals or adjacencies in some cases like this where we're going into OEM and consumable parts. But it's -- I think it's -- I guess I would characterize it as it's got lots of opportunity. There's lots of things in there that we're working on. We have a very big list. It takes time. Not all of them are opportunities that would be considered on the market by others. There's certainly a lot of them in there that we're -- we know well and we're in talking to, and they take time to work through for sure, but we're pretty excited about what we see in the pipeline.
Konark Gupta: On the free cash and capital allocation, I see the $500 million to $550 million range is predicated on, I think, $422 million to $472 million free cash. The free cash range, is that a range because of certain market factors? Or is it a range because of some assumptions around CPA leasing? Or like what's the variability driver there?
Gary Osborne: Yes. So the asset sales I think are self-explanatory. In the free cash flow range, just -- we pick a range to make sure that we've got -- we have a good bottom and a good top. But I think a couple of things. In that deck there, we did assume that the aircraft leases under the CPA that expire in '27 and '28 get extended out to the end of '29. And I think that's a pretty fair representation. We're comfortable with that. But all that being said, we don't have the leases in hand yet. And certainly, in the worst-case scenario, if it didn't, we would sell the aircraft and our capital allocation would have more cash available to it. So we picked a range on the free cash flow that we felt comfortable with moving ahead, made some reasonable assumptions around it. And I don't feel very exposed on it, but I think it's a good range.
Konark Gupta: Right. And Gary, is it fair to assume that if the FX remains where it is, which is above your assumptions for CPA, the range could have upside risk from FX alone?
Gary Osborne: Yes, I think it could. If you look there, we have 1.35, I think, for this year, 1.30 moving ahead. I wish I could say I could predict the U.S. dollar to Canadian dollar rate moving forward, I think I would be one of the richest men around here if I could do it. But I think we have a conservative rate that we published there. I think it's very deliverable. We have some upside on it, hopefully. But look, I think it's a good range. And we would hope there's a bit of upside to it. Yes.
Konark Gupta: Yes. That makes sense. And last one for me before I turn over. On CPA, from the deck at least, it sounds like there's no changes or no amendments at this point, sorry. The fixed fee is running flat at 44, I think, through 2035. And then I think you guys are assuming that the leased aircraft count remains at 39 to 2029. Is there anything I'm missing in these numbers? And what's that window between '29 and '35 looks like for CPA leasing?
Gary Osborne: No, you're not missing anything. We just went out 4 years, Konark, because we wanted to make sure that we gave some good guidance over the next 4-year period. And also in there, I think what you just take away very, very predictable earnings, $43.9 million in fixed fee runs out to 2035. We have some aircraft leases under the CPA that expire technically in '27 and '28, which we believe will get renewed. But it's an assumption we're making. But the other thing I would highlight there is, I think sometimes it gets missed is when you look at the debt profile, it is dropping very rapidly within the CPA. And if you then go back to our free cash flow less scheduled debt payments per piece, you'll start to -- if you start to model leases being extended out and essentially no debt against it, you realize that there's a very strong free cash flow less debt payment profile over the next 4 years. And I think that's what we're trying to highlight is, we have room to grow the company, we have room to grow the dividend, we have room to buy back more shares. We have a very -- a significant amount of cash available to us. And in the $500 million to $550 million range in free cash flow, that is essentially our market cap today also. So you look at -- we're just highlighting, there's a lot of cash coming off this and we have flexibility and we have the ability to deploy it in a way that is accretive and beneficial to shareholders.
Operator: And there are no further questions at this time. I will turn the call back over to Matt for closing remarks.
Matt LaPierre: That concludes today's call, everyone. Thank you for joining, and please have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you.